Operator: Good day, everyone, and welcome to the Bristow Group's Fourth Quarter 2025 Earnings Call. Today's call is being recorded. [Operator Instructions] At this time, I'd like to turn the call over to Red Tilahun, Senior Manager of Investor Relations and Financial Reporting.
Redeate Tilahun: Thank you, Luke. Good morning, everyone, and welcome to Bristow Group's Fourth Quarter and Full Year 2025 Earnings Call. I'm joined on the call today with our President and Chief Executive Officer, Chris Bradshaw; and Senior Vice President and Chief Financial Officer, Jennifer Whalen. Before we begin, I'd like to take this opportunity to remind everyone that during the course of this call, management may make forward-looking statements that are subject to risks and uncertainties that are described in more detail on Slide 3 of the investor presentation. You may access the investor presentation on our website. We will also reference certain non-GAAP financial measures such as EBITDA and free cash flow. A reconciliation of such measures to GAAP is included in the earnings release and the investor presentation. I'll now turn the call over to our President and CEO. Chris?
Christopher Bradshaw: Thank you, Red. I will begin with a note on safety, which is Bristow's #1 core value and our highest operational priority. We experienced fewer lost workdays in 2025, the second consecutive year of improvement in this metric. The Bristow team remains committed to our Target Zero Safety culture and the belief that we each own safety every day. By maintaining situational awareness and always looking out for one another, we can deliver on Bristow's commitment, zero accidents and zero harm. We are also pleased to report strong financial performance in 2025. Full year adjusted EBITDA of $246 million was in line with guidance for 2025, and we are affirming our financial guidance range of $295 million to $325 million for 2026, which reflects adjusted EBITDA growth of approximately 25% year-over-year. We expect strong cash flow conversion, which Jennifer will further detail in her commentary. For now, I will refer you to Slide #15 in our earnings presentation, which summarizes the transformative growth in Bristow's business over the last few years. Since the pandemic era trough in 2022, we have experienced significant year-over-year growth in revenues, adjusted operating income, adjusted EBITDA and margins. With the continued growth and diversification of our Government Services business, Bristow has evolved into a scaled, multi-mission aviation services provider with leading market positions in our core markets. As reflected in our affirmed financial outlook, we expect adjusted operating income in our Government Services business to double in 2026. And the high-quality infrastructure-like cash flows from these contracts provide a durable cash flow foundation for the company. In addition, we expect adjusted operating income in our offshore energy services business to increase by approximately 15% in 2026, primarily due to improved terms on contract renewals. In January, Bristow completed a successful refinancing of our senior notes, with an upsized $500 million transaction at a lower coupon rate of 6.75% and an extended maturity into 2033. Bristow's positive financial outlook, robust balance sheet and strong liquidity position, support the initiation of the company's cash dividend program, confirmed by yesterday's announcement of a $0.125 per share dividend payable on March 26, 2026. I will now hand it over to our CFO for a more detailed discussion of 2025 results and our financial outlook. Jennifer?
Jennifer Whalen: Thank you, Chris, and good morning, everyone. Today, I will begin with a review of Bristow's sequential quarter and full year financial results on a consolidated basis before covering the financial results and 2026 guidance ranges for each of our segments. Total revenues and adjusted EBITDA were $9 million and $7 million lower in Q4 compared to Q3, respectively. Primarily due to lower seasonal activity in our other services and Offshore Energy Services segment. As Chris noted, we are pleased to report another year of strong financial results with total revenues in 2025, up $75 million compared to 2024 and adjusted EBITDA of $246 million, which is approximately 4% higher than last year and in line with our previously published outlook. At this time, we are affirming our 2026 guidance ranges of $1.6 billion to $1.7 billion for total revenues and $295 million to $325 million for adjusted EBITDA. Turning now to our segment financial results. Revenues in our Offshore Energy Services, or OES segment, were $3 million lower in Q4, primarily due to the end of fixed wing services in Africa and lower utilization in the U.S. Adjusted operating income was consistent with the preceding quarter as the lower revenues were partially offset by higher earnings from unconsolidated affiliates coupled with lower net operating expenses, largely due to lower subcontractor and repair maintenance costs. Year-over-year, OES revenues were $24.4 million higher, primarily due to increased utilization and additional aircraft capacity in Africa of $21.7 million and higher utilization in the Americas of $19.2 million, primarily driven by the U.S. and Brazil. Revenues in Europe were $16.5 million lower due to lower utilization. Adjusted operating income was $30 million higher in the current year primarily due to the higher revenues, coupled with lower general and administrative expenses of $5.9 million and lower operating expenses of $3.6 million. The decrease in G&A costs was attributable to lower professional service fees, insurance and lease costs, while operating expenses benefited from lower R&M costs, lower fuel prices and lower insurance premiums, which were partially offset by higher personnel and other operating costs related to increased activity. Our 2026 OES revenues guidance range is between $1 billion and $1.1 billion compared to $990 million reported for 2025. And our 2026 adjusted operating income guidance range is $225 million to $235 million compared to $203 million in 2025. Moving on to Government Services. Revenues were $0.8 million lower primarily due to lower seasonal activity in the U.K. but were partially offset by the commencement of operations at an additional base in Ireland. Adjusted operating income was $3.2 million lower in Q4, impacted by higher repairs and maintenance of $2.9 million, resulting from lower vendor credit and the timing of repairs, coupled with higher personnel costs of $1.6 million related to contract transitions, which were partially offset by lower other operating expenses. Full year revenues from Government Services were $49.8 million higher in the current year with the commencement of the Irish Coast Guard contract and higher U.K. SAR revenues, largely resulting from favorable FX impact and the commencement of fixed-wing services. Adjusted operating income was $12.6 million lower in the current year primarily due to higher expenses attributable to the commencement of new contracts in Ireland and the U.K., partially offset by the higher revenue. The outlook for our government services business is positive. As illustrated by the 2026 revenues guidance range of $440 million to $460 million and adjusted operating income guidance range of $70 million to $80 million, which is roughly double that of 2025, as shown on Slides 14 and 15. With strong margins and earnings potential of this business will continue to improve as the operations and revenues for these contracts continue to ramp and certain cost of side as transitions to the new contracts conclude in 2026. And finally, revenues from our other services were $5.2 million lower in Q4, primarily due to lower seasonal activity in Australia and adjusted operating income was $4.1 million lower due to the lower revenue partially offset by lower operating expenses of $1.2 million related to lower seasonal activity. On a full year basis, revenues from other services were $0.8 million higher in the current year as a result of higher activity, partially offset by lower revenues due to the conclusion of certain dry lease contracts. Adjusted operating income was $5.4 million lower in the current year, primarily due to higher operating expenses of $5.9 million, offsetting the higher revenues of $0.8 million. The increase in operating expenses was due to higher activity in Australia. We expect the improved economics in our regional airline in Australia to continue for this segment to remain consistent and cash flow accretive. In our 2026 revenues and adjusted operating income guidance for this segment is between $130 million and $150 million and $225 million, respectively. Moving on to cash flows and liquidity. As of December 2025, our unrestricted cash balance was approximately $286 million with total available liquidity of approximately $347 million. In recent years, working capital has been impacted by increases in our various other assets, primarily related to start-up costs for new government services contracts and inventory to support new contracts and mitigate risks related to supply chain constraints. Despite these impacts, the business has continued to generate strong operating cash flows. In 2025, Cash flow from our operations generated $198 million compared to $177 million in the prior year, and adjusted free cash flow was approximately $26 million higher in the current year. We expect the business to continue generating strong free cash flows into 2026 and working capital to improve over time as supply chain constraints subside and our new contracts include their transition period, reaching their full operational run rate. Lastly, as Chris noted, in January, Bristow closed a private offering of $500 million senior secured notes due in 2033, with a coupon of 6.75%. The company used a portion of the net proceeds redeemed the 6, 7, 8 senior notes, with the remaining net proceeds to be used for general corporate purposes. This refinancing has increased the pro forma cash balance and liquidity of the company. Today, Bristow has no near-term debt maturities, attractive financing with lower coupon rate and improved terms, amortizing equipment financing that include flexible prepayment terms and growth and net leverage ratios that have continued to reduce each year. In summary, we are pleased with Bristow's financial performance this year and with the outcome of this transaction and remain committed to protecting and maintaining a strong balance sheet and liquidity position, while furthering shareholder return initiatives with the commencement of our new cash dividend program. At this time, I'll turn the call back to Chris for further remarks. Chris?
Christopher Bradshaw: Thank you. I will now refer you to Slide #21 in our earnings presentation, which summarizes Bristow's annual net asset value or NAV disclosure. As a reminder, we provide this NAV presentation annually in compliance with certain covenants and other disclosure obligations. The helicopter fair market values are based on a desktop appraisal performed by a third-party expert as of December 31, 2025. The NAV calculation takes this estimated fair market value of Bristow's owned aircraft, plus the book value of other tangible assets, less total debt and deferred taxes, to arrive at an aggregate NAV of approximately $1.8 billion or $60 per share. Thus far in the call, we have discussed Bristow's financial outlook for 2026 and outlook supported by the growth and stability of our government services business, the heavy weighting of our offshore energy services business, the more stable production support activities and the breadth and diversity of the geographic markets we serve. Looking forward, we would now like to share some perspectives beyond the confines of calendar year 2026. Bristow continues to have a positive long-term outlook for offshore energy services activity. Deepwater projects are favorably positioned, offering attractive relative returns within the asset portfolios of oil and gas companies. And we believe offshore projects will receive an increasing share of future upstream capital investment. This positive demand outlook is paired with a tight supply dynamic. The fleet status for offshore configured heavy and super medium helicopters remains tight, and the ability to bring in new capacity remains constrained with long manufacturing lead times on production line that must be shared with military aircraft orders. We believe this constructive supply/demand balance supports a positive outlook for the offshore helicopter sector. As noted earlier, with the continued growth and diversification of our government services business, Bristow has evolved into a scale, multi-mission aviation services provider. We see additional growth opportunities in our core government search and rescue business as well as a broader spectrum of aviation services to government and military customers. In the context of a complicated geopolitical landscape, and expectations for significant increases in defense spending. We believe there will be compelling organic and inorganic growth opportunities for a specialized aviation services provider with Bristow's track record, operational expertise, and financial flexibility. Finally, as summarized on Slide #5 of the earnings presentation. We have continued to advance Bristow's position as an early leader in advanced air mobility. We recently completed Bristow's first electric aviation project conducted as an international test arena in Norway in partnership with the local regulator and our partners at Beta technologies, where we flew over 100 missions and 6 months of operational testing. In addition, we recently secured some of the first delivery slots, including slot number one, for the hybrid electric, highly versatile Electra EL9 Ulta short take-off and landing aircraft. Bristow also recently announced an expanded role and advancing the U.K.'s first electric air travel network through a new collaboration with vertical Aerospace and Skyport infrastructure with initial service targeted for early 2029. We believe that Bristow has created significant option value with minimal capital commitment to date and what is expected to be a large and rapidly growing addressable market for these new generation aircraft. With that, let's open the line for questions. Luke?
Operator: [Operator Instructions] The first question will come from Jason Bandel with Evercore ISI.
Jason Bandel: So you affirmed your '26 OES guidance and noted improved terms on contract renewals. Can you talk about how far into the renewal cycle you currently are? Has there been any kind of changes to rates as these contracts renew and how much of this is reflected in your guidance?
Christopher Bradshaw: Yes. As of our last disclosure, we were about 50% through rolling over our Offshore Energy Services customer contract portfolio, and we expect to be substantially complete with that conversion by the end of this calendar year. So by December of this year, effectively all of the OES customer contract portfolio, we'll have reset. The impact is reflected in our guidance for 2026 and most of the 15% uplift in the adjusted operating income for that segment is due to those improved contract terms. On average, globally, the rate uplift for leading-edge contracts compared to the legacy contract rates they're replacing is about 25%. There are some regional differences, some higher and some lower, but on average, it's been about 25%, and that's holding pretty consistent.
Jason Bandel: Got it. And then next, can you highlight, I guess, the regions here that are going to be driving your growth in '26 and where you are most likely to mobilize additional capacity, whether it's taken from other markets or just from a new aircraft deliveries?
Christopher Bradshaw: Yes, happy to do that. The regions where we're seeing more demand and growth and where we're mobilizing additional aircraft capacity include Africa, which has been a strong region for us for the last couple of years, and we expect it to remain that way in 2026 as well as Brazil, which has been one of the fastest-growing deepwater basins. And again, we expect that to continue. Those are probably two of the faster-growing ones that I would highlight in terms of where additional capacity is moving into.
Jason Bandel: Got it. And last one for me, just on a popular topic this quarter in terms of the discussion around Venezuela. We generally think about the entree opportunities there, but there has been some offshore gas development in the past. How do you view potential opportunities for Bristow in Venezuela? And just given your presence in the Caribbean, would you have any kind of advantages if you decide to enter that market?
Christopher Bradshaw: Yes, there could be. We're not expecting near-term opportunities to materialize for offshore helicopters. Though we will be supporting some work out of Trinidad into joint basins that overlap with Venezuela, which are more likely to go forward now. But as you noted, we do have a large presence in the Americas. That includes a long time presence in Trinidad, where we do both crew change and search and rescue work as well as the Suriname and including [ Curacao ]. So given our presence in the region, I think if and when opportunities do materialize, we're as well positioned as anyone to take advantage of them.
Operator: The next question comes from Josh Sullivan with Jones Trading.
Josh Sullivan: Just wanted to ask on UKSAR2G, just on the transition, how is that coming along? Supply chain issues or otherwise state of the world? Any delays or risks to aircraft delivery time lines we should be thinking about?
Christopher Bradshaw: Thank you for the question, Josh. I'd say, overall, the transition from the current UKSARH contract to the new UKSAR2G contract is going well. And I want to extend my gratitude to the whole team, everyone on the Bristow team as well as Matachy's Coast Guard team that are working on that. There have been some aircraft delays, consistent with the supply chain issues that have plagued the aviation industry and certainly the civilian helicopter industry over the last few years. I think Leonardo is having some of those with their suppliers and vendors as well. So we have had some aircraft delivery delays, which is complicated the time line, but we're working closely in collaboration with our customer at the Marine and Coast Guard Agency to manage through those issues. And the communication is going well. And again, overall, the contract transitions UKSAR2G is progressing along.
Josh Sullivan: Got it. And then I guess on the Irish side, now you have the full suit of bases online and the costs you mentioned in the prepared comments there, Jennifer, can you just talk about what costs are going to be subsiding through '26 and how that ramps down?
Jennifer Whalen: Sure. So there are still transition costs for the Irish contract into 2026 as we took the new over the last phase in February. There's still training that needs to occur. These pilots are moving from one aircraft type to a new aircraft type. So it's primarily that training and getting everyone up to speed and ready to go on the new contract.
Josh Sullivan: Then maybe just switching over to advance air mobility. Congrats on Norway Sandbox and getting that done. But curious if you could give us any insights into findings or how significant that initiative was towards your future plans, but you guys are on the tip of the spear there. So it's always interesting to hear your perspective.
Christopher Bradshaw: I would say very significant. This was really a first-of-its-kind project globally, and we were able to operate the aircraft really on a daily basis in partnership with the local regulator and beta technologies and get some valuable real-world insights. There will be a formal report published in a couple of months. I don't want to preempt that. But I would say at a high level, there are some learnings related to the battery storage, battery charging as well as radar position and communication of the aircraft. There'll be more to say on that when the full report comes out. But again, we were really excited to complete that project, which is one of the first of its kind globally.
Josh Sullivan: And then just one last one. Chris, your comments on just the defense market, given geopolitically what's going on and your interest there. But then combining it with the reality that you guys are at the tip of the spear and the advanced mobility market and the interest the defense market has in those applications. Are you looking at your combined capabilities here? Is that going to be an advantage? Or are you thinking more traditional kind of defense sort of orientation?
Christopher Bradshaw: We're thinking both. We're thinking traditional defense orientation, and we're already doing work today with the U.K. MOD, and we've done some work historically with the U.S. military, but we think that opportunity set will be a big one for us going forward. But also, I think you're spot on, Josh, in mentioning that our early leader position and advance air mobility should be a strong interplay with government and militaries, which are expected to be some of the biggest customers globally for those new generation aircraft.
Operator: The next question comes from Savi Syth with Raymond James.
Savanthi Syth: I wonder if you could talk a little bit about the thinking and the shift in your debt strategy here and how you're thinking about kind of balance sheet targets going forward?
Jennifer Whalen: Sure. We were happy to execute the transaction that we did in January and we were able to upsize that with an attractive coupon in terms and really dramatically better credit spreads than the last issuance that we had. We did state that we plan to pay down debt by the end of 2026, and that would likely be our UKSAR2G equipment financing and all things being equal, that will still be the case. In the meantime, we will plan to evaluate other opportunities so we still feel comfortable where we're at on that and we're happy to get that refi done.
Savanthi Syth: Got it. And then just on the aircraft deliveries that are expected here in '26. Could you remind me kind of the plan on the financing front on that, Jennifer?
Jennifer Whalen: So we do have orders for 7 AW189 this year. We do plan to either pay for those with cash on hand or lease them or do something else around that, but no significant financing needed based on what we did in the bond deal. We did pledge a couple of those in that bond deal.
Savanthi Syth: Got it. And then just finally, if I might ask one last question just on the Electra announcement that came. It sounded like this included some agreements on PDPs. Just could you talk about or provide a little bit more detail on kind of the timing and level of investment in that area?
Christopher Bradshaw: Yes. Thank you for the question, and happy to address that. To date, we only have a few million dollars of capital commitments that have been made. The agreements that we have in place are subject to certain milestones around certification and aircraft performance. If those are met. And if we see the compelling market opportunities we have the option to bring those aircraft in. And specifically to the Electra that would be up to $30 million for the ones that have been ordered thus far and the financing for anything that we would do around advanced air mobility. We think we have the ability to execute given the financial flexibility that Bristow has built today with our balance sheet and liquidity position.
Operator: [Operator Instructions] Our next question will come from [indiscernible] with Texas Capital.
Unknown Analyst: As it relates to your guidance, can you talk to some of the variables that could either surprise you on the upside or the downside?
Jennifer Whalen: Sure. Happy to answer that. So there are a few items that would bias either to the high side or the low side of the range, really the macro environment price of oil, stability of prices could -- about 15% of our revenues do come from exploration, which would be the most affected by those. Foreign exchange rates, particularly the British pound and the euro in our search and rescue contracts in Ireland and the U.K. We do get paid in those currencies and so they could bias us one way or the other depending on what happens with the dollar to those currencies. And then further, either supply chain constraints or improvements could also affect that bias one way or the other.
Unknown Analyst: That's very helpful. And then can you also help us to sort of understand where the next kind of notable government contracts might develop? And what that timeline might look like?
Christopher Bradshaw: Yes. There's not a published tangible timeline for a lot of the search and rescue projects to date. But I would note that there are a lot of conversations that are going on now, particularly with European governments A lot of them have made commitments to spend more on defense over the next several years. And one of the ways, from a budgetary standpoint, they may look to balance that is potentially outsourcing some of the non combatant services like a civilian Coast Guard. So we are having encouraging conversations with a few different countries in Europe today about outsourced coast guard opportunity similar to what we're already doing for countries like the U.K., Netherlands, Ireland, et cetera. So we remain optimistic about the pipeline for additional government search and rescue work. And then beyond that, we do see a broader set of opportunities for an aviation service partner to work in public-private type partnerships with militaries and governments in both Europe and the Americas to meet some of the defense -- increased defense spending objectives that they have.
Operator: Our final question will come from Steve Silver with Argus Research.
Steven Silver: First, referencing the NAV slide, does the cited $1.6 billion in fair market value of the owned aircraft reflect any of the new aircraft that have been committed for purchased but not yet delivered or does that just apply to the current fleet?
Jennifer Whalen: Steve, thanks for the question. No, the fair market value of the aircraft on the NAV side reflects the third-party appraisal of the aircraft that Bristow has in the fleet today and does not include the anticipated new delivery. However, there are deposits in the -- towards the new aircraft and the other PPE line on that NAV slide.
Steven Silver: Great. And so even though commercialization is still a few years out now, but as AAM gets closer to the market and Bristow now secured initial delivery slots, is there any early view that you guys have on the supply dynamics that you envision for that market that could help define the pace of an eventual commercial rollout?
Christopher Bradshaw: It will start small as those companies mature their manufacturing capabilities. So it could be single digits to low double digits in the first year ramping up pretty quickly after that. But I think it will be a measured pace within this decade. But likely scaling to a much larger hundreds of units across the different manufacturers as we roll the calendar into the next decade.
Steven Silver: Great. And one last one, if I may. Earlier, you discussed the improved terms on the 2026 contract renewals for OES supporting adjusted operating income growth. Can you provide any details on the percentage of the total contract book that was up for renewal this year? And any parameters around contracts coming up for renewal over the next couple of years that you're envisioning?
Christopher Bradshaw: So about 50% of the OES customer contracts had renewed prior to the end of 2025 and most of the rest of potentially all will have renewed by the end of this calendar year. The benefits of that within calendar 2026 are reflected in the guidance range that you provided and future years will include the full year benefit of those. It's been a healthy rate uplift, again, about 25% on average globally for leading-edge rates compared to the legacy contract rates that they're replacing. And most of the 15% increase in our adjusted operating income from our OES segment in 2026 is due to those improved contract terms.
Operator: This concludes our question-and-answer session. I will now turn the call over to Chris Bradshaw for closing remarks.
Christopher Bradshaw: Yes. Thank you, Luke, and thanks, everyone, for joining the call. We look forward to updating you again next quarter. In the meantime, stay safe and well.
Operator: This concludes today's call. You may now disconnect at any time.